Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2010 Asure Software Earnings Conference Call. My name is Ally and I'll be your coordinator for today. At this time all participants are in a listen-only mode. And we will conduct a question-and-answer session towards the end of this conference. (Operator Instructions). I’d now like to turn the call over to Cheryl Trbula of Asure Software. Please proceed.
Cheryl Trbula: Thank you, Ally. And welcome everyone to Asure Software's conference call. Before we start, I'd like to mention that some of the statements made by management during this call might include projections, estimates, and other forward-looking information. This will include any discussion of the company's business outlook. These particular forward-looking statements and all other statements that may be made on this call that are not historical are subject to a number of risks and uncertainties that could affect their outcome. You're urged to consider the risk factors relating to the company's business contained in our latest periodic reports on file with the Securities and Exchange Commission. These risk factors are important and they could cause actual results to differ materially. This call is also being recorded on behalf of Asure Software and is copyrighted material. It cannot be recorded or rebroadcast without the company's expressed permission and your participation implies consent to the call's recording. After we've completed our review of the quarter we'll open up the call for questions from the financial analyst community. I would like to now turn the call over to Pat Goepel, CEO of Asure Software, Pat?
Pat Goepel: Thanks, Cheryl and I’d like to personally welcome the shareholders, investors, analysts, potential investors, and employees listening to the Asure fourth quarter conference call of 2010. We're going to cover today the year of 2010 as well as the quarter, we’ll open with the quarterly comments. First of all, for the quarter, we had EBITDA of $0.11, which it was good to see the progress in EBITDA and cash growth, which also trails very closely to EBITDA, was 23% higher in the fourth quarter. The repetitive initiatives, that we’ve been working on have led to deferred revenue up 10% and that was very encouraging as well. And finally one other key point was earnings of $0.03 per share positive really led a good year of momentum in change. We ended the year of 2010 and the quarter on a high note with $0.03 a share, $0.02 excluding some one-time option or one-time costs. New clients this quarter, Blue Cross Blue Shield, the University of Minnesota, Tennessee Valley printing and the Boys & Girls Club of America. We are very proud of our new clients all came on board in our SaaS model, 76% of our repetitive revenue was achieved this quarter and that’s the highest I believe on record and it gives you true step to transformation to cloud-based systems that we’ve talked about is really taking hold. Our product initiatives are going very well in the quarter. We are going to have some further announcements on our move to the mobile devices both BlackBerry as well as Apple iPhones and we’re excited about that our customers and potential customers are excited about that as well.
,: I'm now going to turn the call to our CFO Dave Scoglio, and he is going to talk in more detail about some of that numbers for the quarter.
David Scoglio:
. : And as Pat mentioned, our recurring revenue quarter-over-quarter improved from 73% to 76%. EBITDA for the fourth quarter was 320 K, $0.11 per share. This represents an improvement over the prior quarter of 52% in the comparable quarter in 2009 of 29%. Net income for the fourth quarter was positive and within earnings guidance of $0.02 per share all in and as Pat mentioned $0.03 per share excluding one-time item. On an annual basis significant progresses made. We improved the full year P&L by $3.9 million in 2010, excluding one-time items. Significant items for 2010 included the buyout of our Austin headquarters lease, which amounted to $1.2 million write-off in the second quarter of 2010. Full year results for 2010, excluding one-time items was a gain of about $100,000 or approximately $0.03 per share. From a gross margin perspective, we were at 78% in the fourth quarter, which just slight improvement 2% over the comparable fourth quarter in 2009. Operating expenses excluding one-time items decreased 24% over the comparable period in 2009, reduced from $2.3 million to $1.8 million and this is primarily driven by the business surround efforts, begun at the change of management in late 2009, headed up by our CEO Pat Goepel. On the balance sheet, there are several notable improvements. From the third quarter as Pat mentioned, cash has grown to almost $1.1 million, deferred revenue was up and actually current liabilities excluding deferred revenue have been reduced by almost $400,000. Also note that we continue to have zero long-term debt on the balance sheet. Lastly, our quick ratio increased from 0.7 to 0.8 quarter-over-quarter, excluding deferred revenue, which arguably have the substantially lower actual costs and other liabilities from coming due. Our quick ratio for the current quarter would be 2.3, up from 1.3 in Q3, 2010 by the same measurement. This concludes our discussion of the financial results for the fourth quarter of 2010. And I would like to go right into our first quarter outlook for 2011. As outlined in this morning’s press release Asure’s forecasting estimated loss for the first quarter of 2011 of $0.04 to $0.07 per share within EBITDA range of positive $0.01 to $0.04 per share. At this time I’d like to turn the discussion back to our CEO, Pat Goepel for closing comments and to begin the Q&A session.
Pat Goepel: Great, Dave. Thanks, for everyone here investors, potential investors, shareholders, employees and analysts, if we step back from it, Asure has made tremendous progress in its transformation. We’re now going full throttle from an operating business with two excellent products. We’re fixing our products and growing our products on the Internet and really becoming a cloud-based company. We are setting up our platforms where we can get clients and bunches which we’re really excited about. Stepping back, we have net operating losses of $152 million. We’re a public company listing. We’re really poised for growth. We’ve proven that we can get profitable. We also feel that we’re undervalued and we feel that we have an opportunity from an acquisition perspective to take advantage of our board and our management expertise to getting more volume. We’re looking for the right acquisitions and to that and the board of directors have approved a management or an acquisition committee to look for accretive acquisitions and we feel that we’re in a good place to do that, now that we’ve simplified the business. We’re very active in the market place and looking for deals and we feel that we can assimilate that acquisition this year and we’d like to see that being done and of course, acquisitions are hard to predict but we do feel like we have the management team and the board of directors in place to do that. We also feel that our platforms are becoming easy for us to assimilate acquisitions as well compared to where we were over the last year. We’re in big markets, we see big opportunities. We’re very excited about the future and we hope you are as well. And with that I’m going to turn it over to anybody that like to ask potential questions.
Operator: (Operator Instructions) Our first question comes from James Gladney of Liberty Capital. Please go ahead.
James Gladney – Liberty Capital Partners, Inc.: Good morning Pat. How are you?
Pat Goepel: I’m doing very well. Good morning Jim.
James Gladney – Liberty Capital Partners, Inc.: Can you give us any guidance on earnings or EBITDA through the balance of 2011?
Pat Goepel:
,: And clearly when we are used to selling and getting a lot of the revenue all a once, we are now selling more and more repetitive so it takes time to build up that pipeline again, but that was outlined at the Sidoti Conference and I’ll at the next conference call talk about the year guidance in greater detail.
James Gladney – Liberty Capital Partners, Inc.: Thank you.
Pat Goepel: Thanks Jim and thanks for your support.
Operator: (Operator instructions) I am showing no further questions at this time. I would like to turn the conference back over to management for any closing remarks.
Pat Goepel: Thank you. Yes. Again, I just want to highlight Asure is in large part through a difficult transition that and we’ve come through the other side in a very positive formation. We simplified the business greatly. We are focused on our two products. We are making tremendous progress in our products and we are excited about our platforms. We are looking for growth as 2011 occurs and growth in the right way meaning it’s in cloud-based solutions in a repetitive nature to build on that for a great 2012 and ’13. We are excited about our opportunity. We are excited on the quarter where we delivered cash growth of 23%, EBITDA of $0.11, deferred revenue at 10% and our earnings that were positive. We are excited in the future that we are in big markets and we do believe that we have some acquisition opportunities and we are going to put some focus on that. So I think it will be as exciting as 2010 was for Asure in the transformation. 2011 we believe will be just as exciting as a company now that starts hitting in stride with new products. Revenue growth getting into the proper model of the cloud-based model, as well as potential acquisitions. So we like to thank you for your support, we do feel very good about the future and very good about your support and we’re excited to serve you. Have a great day.
Operator: Ladies and gentlemen, that does conclude today’s conference. You may all disconnect and have a wonderful day.